Operator: Ladies and gentlemen, thank you for standing by and welcome to the DCC interim results call. At this time, all participants are in listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I must advise that this conference is recorded today. I will now like to hand the conference to your speaker, Donal Murphy, CEO of DCC to start today's conference call. Please go ahead, sir.
Donal Murphy: Thank you. Well, good morning and welcome to DCC's results presentation for the year-ended March 31, 2021. I am Donal Murphy, Chief Executive of DCC and I am joined here by Kevin Lucey, Chief Financial Officer. It's great to be with you all this morning. Just our disclaimer. So thankfully, I don't have to read it. And we will move on and look at the agenda for today. I am going to cover off the highlights of the year and quite a year it has been. Kevin will take you through the business and financial review. I will give you an update on what has been another strong year of development activity for the group. I will update you on the excellent progress we have been making and leading in energy transition. Kevin will give you an update on our capital framework and our financial strategy. And after a summary and our outlook statement, we will open up the session for questions-and-answers. So despite the very challenging and uncertain environment created by the COVID-19 pandemic, DCC delivered a very strong trading performance during the year. DCC's evolved business model empowers our teams to react quickly to changing market dynamics such as the impact of COVID-19 pandemic. Our business model was really tested over the last year, but the results speak for themselves. Group adjusted operating profit increased by 7.3% to £530 million. We maintained our consistent track record of organic growth with circa half our constant currency growth organic. Pleasingly, all four divisions achieved operating profit growth over the prior year. Driven by a very strong working capital performance, we continued our trend of generating very strong free cash flow with an excellent 130% conversion of operating profit to cash. Our return on capital employed, DCC's key operating metric, increased to 17.1%. The board proposed to increase the total dividend for the year by 10%. This will be DCC's 27th consecutive year of dividend growth. Despite travel restrictions, DCC remained very active on the development front with £375 million committed to new acquisitions with acquisitions in each of our divisions and across nine different countries and with £55 million of new acquisitions announced today. The notable larger acquisitions were Wörner, which creates a platform for DCC Healthcare in Continental Europe. And the material expansion of our U.S. LPG business through the acquisitions of UPG and NES. But more about that later. Finally, DCC is absolutely committed to driving excellence and sustainability across the group and to leading our customers through the energy transition. During the year, we set net zero target for 2050 or sooner for the group with an interim target of a 20% reduction in our emissions by 2025 and we are well on track to achieve this target. We retained our MSCI AAA ESG rating and we have made really good progress in leading our customers through the energy transition journey and I will take you through some of our developments in this area a little bit later in the presentation. The strength of the performance demonstrates the resilience in DCC's business model, the benefit of our diverse sectors of energy, healthcare and technology and most importantly, the essential nature of the products and services that DCC provides to its customers. The COVID-19 pandemic really highlighted the essential nature of the products and services that DCC provides to its customers every day. Whether it is the energy to heat their homes, to harvest their crops or to produce their products, DCC supplies the essential energy. The fuel to transport goods and services to businesses and especially direct to homes, as shops closed and more and more goods were purchased online. The personal protective equipment and other COVID-related medical products to allow our medical practitioners to care for their sick patient and fight the virus. The nutritional products that help strengthen people's the immune systems or the technology that forms such a central part of our lives today enabling millions of people to work from home and create a seamless interface between business and consumers. Throughout the year, DCC provided millions of consumers with the essential products and services to support their everyday life and to keep our economies moving. DCC's purpose is to enable people and businesses to grow and progress and during the year, our people, our greatest assets demonstrated our purpose in action. The strong performance in the year was a result of the phenomenal capability, agility and commitment of our 13,700 colleagues, who work across the 20 countries that DCC operates in. I would like to say a big thank you to all of my colleagues for delivering such a wonderful performance in the most challenging environment we have ever experienced in our lifetimes. They live their core values of safety, integrity, partnership and excellence every day. They always put the customer first to ensure our customers receive the essential products and services that they required. They work tirelessly to keep each other safe throughout the pandemic. Despite the challenging environment, we made great strides in delivering for all our stakeholders as outlined here. I will now hand you over to Kevin, who will take you through the business and financial highlights. Kevin?
Kevin Lucey: Thanks Donal and good morning everyone. So as Donal mentioned, we delivered strong growth in financial year 2021 and there are many highlights in the year. We will talk through a selection of them for the next few minutes and also get into the performance in the year by divisions. To start with, adjusted operating profit was up 7.3% to £530.2 million with growth in profits across each division of DCC, a very strong result for the year, particularly given that we were behind the prior year at the end of Q1. Adjusted earnings per share was up 6.6% to 386.6 pence per share. The Board is proposing a 10% increase in the dividend for the years as a whole, reflecting the strong underlying performance and our progressive approach. It's our 27th years of unbroken dividend growth. The free cash flow performance was excellent with £687.8 million generated, driven by a really strong working capital performance. And I will talk about that in more detail shortly. Importantly, our return on capital employed, DCC's key metric, increased to 17.1%, reflecting the strong profit growth on that free cash flow performance. In terms of balance sheet, we end the year with a very strong balance sheet position. Net debt was £150 million or net cash of £165 million, if you exclude the lease creditors of IFRS 16. That net cash position is before a sizable acquisitions spend outflow just after the year-end. We completed the acquisition of Wörner and a number of other acquisitions in April. Donal will talk about those later on. Approximately £130 million of spend on acquisitions, post the balance sheet date. So that spend, therefore gets us back to a modest net cash position of approximately £40 million pro forma for the acquisition spend. In terms of the operating profit performance, overall we are up 7.3% or 6.6% on a constant currency basis. So a very modest translation benefits in the year. As usual, currencies did move around during the year. So the average Sterling/Euro rate for the year for the income statement was 1.12 and Sterling/Dollar rate was 1.30. Within that, Sterling was weaker earlier in the year and then strengthened appreciably by the end of the year and into FY2022. All divisions recorded growth in operating profit, as Donal said. LPG, up 1.3%. Retail and oil, up 3.3%. Healthcare, really strong performance, up 35% on a reported basis. But obviously, the prior year had a contribution in there from the generic pharma business, which we disposed off in the prior year. So on a continuing basis, the growth in healthcare was 45.9%. And technology, also very strong growth, up 11%. So the overall shape of the group on the back of the very strong growth you see in healthcare and technology combined, they increased to 29% of group' profits, up from 25% in the prior year. The other notable points on the slide here really is that geographic shape of the group continues to evolve. Again, we will talk about it later in the presentation. But roughly, the U.K. and Ireland now accounts for approximately 40% of the group, Continental Europe for 40% and the rest of the world for 20%, the majority of which is in North America. So just to dig in to the divisional performance in a little more detail. Our LPG division traded resiliently throughout the year. The lockdowns did impact many of our commercial and industrial customers, as you know. You will remember that LPG was behind at the half year by 7%. So good recovery as the year progressed. During the first half in particular, we had a good cylinder and domestic performance and that manifested in strong performances in France and the U.S., in particular. We have a strong base in to cylinder and domestic in France and domestic business in the U.S. For the year as a whole, volumes were back modestly organically. The restrictions curtailed activity in the industrial and commercial sectors, particularly. We obviously saw weakness in the hospitality, leisure and construction industries. Things did improve as the year progressed, either as restrictions eased somewhat or as some of our customers adapted to the new working environment. So very pleased to get growth overall for the year. In retail and oil, we recorded good profit growth, up 3.3%, with a good organic performance underlying that. The really notable thing about the performance. I guess, is that it was set against a lot of volume weakness, particularly in the first half when volumes were back 18% and back 12.3% for the year as a whole. We saw strong demand in the domestic and agri sectors in the first half and weaker commercial and transport fuel volumes. The continued success we have had in the penetration of cleaner, premium products, lower emission fuels and the continued growth in services and non-fuel profits was helpful in compensating for the lower activity levels. On the retail side of the business, it recovered throughout the year following a very weak Q1 when the pervasive lockdowns meant retail volumes fell substantially. The most notable performer geographically was in Scandinavia where we recorded a very strong performance. Overall, the operating margin increased from 1.2 pence per liter to 1.4 pence per liter which reflects the substantial slowdown in volumes and the different mix on the back of that, but also the good procurement and cost control performance, particularly in the first half. We are very pleased with the performance in DCC Healthcare, obviously, with excellent profit growth on continuing activities 45.9%, two-thirds of which was organic. We have benefited in healthcare from the strength of our established market positions, but also the sharpening of the strategic focus in DCC Vital in recent years and particularly from the decision to enter the U.S. market in health and beauty and build out from our strong base in Europe. In DCC Health & Beauty Solutions, we again had a strong performance in Europe in both beauty where our focus on more complex products continues to bear fruit and also in nutrition, where we have been investing in our capability and capacity in recent years. We had an excellent performance in the U.S., a market we only entered in 2018 and where we now have sizable business. We are getting traction on the broader offering we have for customers in that market. For DCC Vital, this was a very different year for the healthcare systems in Britain and Ireland, obviously. Our business responded very effectively to markedly different demand patterns. Clearly, there was less in person GP consultations and less elective surgery procedures. But on the other hand, there was increased demand for respiratory, ICU or PPE products. We delivered good growth in revenue and profits in the year. Again, in technology, we are very happy with our performance, very strong profit growth of 11%, approximately three quarters of which was organic. At the half year point, although seasonally less significant we were just about line-ball with the prior year. So again, a very good performance in the second half. Throughout the year, we saw a really strong demand for consumer and working from home products. It won't be a surprise that the B2B market was more challenging. Pro AV, for example, there was little to no spend in large events arenas or conference centers or large offices during the year with a lot of projects postponed. Regionally, we had very strong performances in North America and in Continental Europe, driven by the consumer focused areas in those regions. Finally, for this slide of the presentation, we will just zoom out or this part of the presentation, we will just zoom out against the overall group performance. So on the left hand side of the slide and on the waterfall, you see we have prior year profits of £494 million. In terms of the growth this year, you can see that currency contributed 0.7%, organic contributor just over 3% and then acquisitions were the balance. We are pleased with the organic performance for the year, particularly given that we were behind organically after Q1. In terms of how that profit converted into cash flow, you will see that we had £134 million of depreciation of £155 million of net CapEx and leasing. The working capital performance clearly was very, very strong. There are a couple of things to call out in terms of the working capital inflow of just under £180 million. Firstly, we have a modest amount of supply chain financing, solely within the tech division. Given the sales mix in DCC technology and weighting to large retail customers throughout year, our utilization and supply chain financing for DCC was mechanically higher benefiting working capital. Secondly, our year-end position benefited from a very strong cash collection performance. We believe a large portion of which was driven by the fall of year-end just prior to the Easter weekend holiday and a lot of customers paid us a little earlier than what the usual around £75 million. We would expect this to reverse over the first half. And then finally and most importantly really, we always are focused on driving underlying improvement in our working capital, if we can. We did focus a lot during the year on a number of stock efficiency measures in technology and healthcare and a number of material supply positions in the energy businesses where we managed to get underlying improvements. All told, about £80 million of improvements. The combination of all of these drove the very strong working capital performance. So terrific free cash flow performance, some temporary benefits in there that we would expect to reverse. But even allowing for that and allowing for the committed acquisition spend that went out just after year-end on a pro forma basis for both acquisition spend timing benefits on working capital, we are still looking at our balance sheets with just a very, very modest net debt position.
Donal Murphy: Thanks Kevin. And just moving on to development. And while organic growth is our number one growth objective, acquisitions are also a key pillar for DCC's growth strategy. And FY2021 was an early year of strong development for the group. Despite travel restrictions, DCC remained very active on the development front with £375 million committed to new acquisitions, including further bolt-on acquisitions of £55 million announced today. We acquired business across each of our four divisions and across nine different countries. During the year, we significantly strengthened our position in many markets, added new service capabilities, increased our range of renewable energy products and services and created new platforms for growth. A few of the highlights. We significantly expand the scale of our presence in the U.S. LPG market through the acquisitions of UPG in January 2021 and NES in September 2020, bringing our total capital committed the U.S. LPG market to $445 million since our initial entry in 2018. We now have a business of real scale in the market. It has a presence in 21 states, employs over 800 people and serves the energy needs of over 230,000 customers. While we are now the sixth largest player in the U.S. market, we still have a modest market share and lots of opportunity for further growth and development. DCC Healthcare expanded its activities into Continental Europe through the acquisition of Wörner. Wörner is a leading supplier of medical and laboratory products to the primary care sector in Germany and Switzerland. The acquisition represents a significant scaling up of our primary care business, building on our leadership position in the U.K. market. It also provides a platform for expansion of DCC Vital's broader activities into Continental Europe, particularly in Germany, which has a large, well-funded and growing healthcare market. We also completed a number of exciting deals in technology and new energies. In technology, we expanded our North American business through the acquisition of JB&A, a leading distributor of broadcast postproduction and Pro AV technologies and through the acquisition of The Music People which strengthened our business in the Pro audio segment of the market. I will speak up on our developments in new energies in the next section. The level of development activity during a very challenging year coupled with our platforms, opportunities and capability give us real confidence that we can build the group into a global leader in our chosen sectors. So moving on now to look at how DCC is leading in energy transition. DCC is very well enabled, well-positioned to enable energy transition and support our customers to decarbonize. We have grown and evolved our energy business into a very broadly based provider of energy products and services to millions of customers across 12 countries. We provide the energy that is required for mobility, for heating and to support commercial and industrial activities. Despite the progress made to-date on energy transition, the pace of change and the imperative to decarbonize must continue to accelerate. The coming years in energy transition are the most critical and the most challenging for society, as the world will have to balance the dual complexity of moving to sustainable fuels and decentralize hard to abate uses while also making the transition equitable and affordable. DCC is focused on the energy transition from the point of view of the customer. We are not a producer of energy. Our role is to support our customers to transition to cleaner energy products and services. The evolution of the energy mix plays to DCC's strength as an agile, experienced, mostly energy business with leadership positions in the markets we operate in, backed by our scale and industry partnerships. We have leveraged this position to drive energy transition during the year and we will continue to do so in the years to come. Let's look at a few examples. We have been investing in rolling out EV fast chargers across our retail network and during the year, we increased the number of EV fast chargers by 50%. We are seeing firsthand how attractive investing in fast charging is in Norway, the country with the highest penetration of EVs in the world. We recently rolled out fast chargers across seven locations. Our sites are very well located to attract high throughput while also providing a range of additional products and services for our customers. We are generating very attractive returns and fast payback. There is significant opportunity for growth as demand for well located fast charging continues to increase. We have a pipeline to double the number of locations and chargers in this year. Biofuels have a key role to play in the energy transition. Biofuels has a carbon footprint 80% to 90% lower than conventional fuels. Most importantly, they require no infrastructure investment, unlike most other renewable energies. DCC has been selling biofuels for many years and during the year, we increased our penetration of biofuels to 11% of our total road transport fuels. In Sweden, as an example, we have been accelerating the growth of HVO in the market. We are supporting customers in the transport, construction, marine and municipality sectors to significantly reduce their carbon emissions by converting to HVO. We are also rolling out HVO at the pump on our retail network and increased the number of locations to 37 during the year. Looking at few other energy transition initiatives, we continue to convert commercial and industrial customers to LPG, reducing their emissions by 20% and also now are converting residential customers to LPG. We are significantly reducing the amount of carbon for these customers. We are also supplying renewable electricity to over 100,000 customers in Ireland. We have acquired two solar PV businesses in France recently. The business has helped customers design, build and manage their solar installations and provide ongoing energy management services. Following the acquisitions, DCC now provides transport fuels, LPG, bioLPG, natural gas, power, solar and wood pellets to our customer base in France, a truly multi-energy business. We recently launched sustainable aviation fuel in Denmark, leveraging our leadership position in aviation fuels in the market and our partnership with Shell and SA, we are the first company to do so. And finally, we have launched the new bioLPG cylinder in France. Hopefully, these examples demonstrate the real progress that DCC is making in energy transition. DCC is a leading provider of the energy that is needed today and we will be a leading provider of the energy of the future. I will hand you back now to Kevin to take us through our capital framework and financial strategy. Kevin?
Kevin Lucey: Thanks Donal. So we are going to spend a couple minutes here talking a little bit about the capital base in DCC and the related financial strategy of the group. As you know, the group is substantially larger than it was just seven years ago. We have increased scale but sharpened our strategic focus around our core sectors of energy, healthcare and technology. The capital base, despite the exits of two divisions, has grown by 150%. And we become substantially more international. The shift across just seven years was reasonably dramatic. First, the scale-up of our business in Continental Europe. And latterly, the really successful market entry into North America. We think it's important to highlight this for a couple of reasons. Firstly, our return on capital employed is actually a little higher now at over 19% than it was at the start of this reshaping in 2014, when it was 16%. Notwithstanding, £2.4 billion of acquisitions spend or £1.5 billion since 2017 through a period with the lowest cost of capital in history, DCC has managed to grow significantly and maintain our high group returns on capital employed. We have executed very well on integration and driven good organic growth, both in our existing and acquired businesses, that is despite the significant acquisition spend being initially dilutive to the standing group returns. For example, our expansion in North America, which only started in 2018 and where we had deployed capital every year since, despite most of that capital being deployed at very early teens in terms of return on capital employed and our LPG entry for example being at 10%, we now have 15% return on capital employed in North America, very good progress in just three years. Secondly, the market entry into Europe and most recently in North America have opened up substantial new horizons of growth for us. Large markets, much larger than where we used to operate with consolidation opportunities where we can bring our sector expertise in technology, healthcare and energy and the DCC focus on detailed management disciplines to bear on building bigger and better businesses. The increasingly geographically diverse cash flows from the business, the spread of the business, all increases the earnings resilience of what is from a business model perspective already very resilient, as demonstrated this year above all. This improvement in the quality and spread of the business and our very strong financial position, the variety of capital deployment opportunities we have, all enable us to look forward with confidence. So what are we hoping to do with those cash flows from the business? Our first priority is investing behind the organic growth of our business. Our business is growing well organically, as it has done consistently over our history. We will invest in CapEx ahead of depreciation and in working capital as it provides grace risk-adjusted returns and it also enables us to expand quickly into new and adjacent areas where we leverage our infrastructure and add new capability to our business. As we have done recently in expanding our products and form factor capability in our fast-growing health and beauty operations, or as Donal mentioned earlier, in building out our EV capability in our retail network. We clearly also want to deploy capital on acquisitions at returns well ahead of our cost of capital. We are not one-eyed when it comes to returns. We are prepared to accept lower initial returns as we did when entering North America as long as we are confident of growing those returns over time as we have delivered. Deploying capital on acquisitions remains a core competency in DCC. During a pandemic year, we have committed £375 million to acquisitions across nine countries and as I have already mentioned, in recent years we have built substantial new platforms for development across new regions for the group that will allow us to be synergistic acquirers in those markets in the future. Finally, we believe our progressive dividend approach has been an important driver of value for our shareholders over the years and is a core part of our capital allocation framework. We believe our strategy and framework will drive both capital and income appreciation for shareholders. We expect to continue our progressive approach to dividends and we believe our focus on returns on capital employed and deploying primarily the remainder of our cash flows and our balance sheet on our organic and acquisition deployments will drive strong and consistent long term returns for shareholders. I won't read out our strategic objective on the left hand side here which you will all recognize as it has been consistent for many, many years. Our financial approach is designed to be consistent with this long term objective. We believe a strong balance sheet will build bigger and better businesses over the long term. A strong balance sheet also enables our business model. It provides a very solid foundation to enable our partnerships with customers and suppliers. It also means we can respond quickly to commercial opportunities as they arise and be [indiscernible] when it comes to acquisitions. A strong balance sheet, appropriately funded, helps us deliver on our strategy. So what does that mean in more practical application terms? We would not like to see net debt EBITDA move beyond two times. Our business has grown substantially. That growth and internationalization gives us the scale to evolve our approach as we grow. We expect to broaden the funding options available to us over time and also to focus on the efficiency of the balance sheet position, reducing the relative levels of gross cash we hold. By way of example, we have £135 million debt repayments in FY2022, which we don't need to refinance and will lower the amount of gross cash we hold. Clearly, we are in a very strong financial position today. We do expect that our leverage levels will rise given our ambition to deploy capital and the opportunity set and capability we have. That really is the key point. We are confident we will deploy the excellent balance sheet position we have in acquisitions that are going to create considerable value for the company and for shareholders. Of course, if over a sustained period our average acquisitions spend were to lag our expectation of say £300 million to £400 million per annum, we do have the option of increasing returns to shareholders to manage our overall position. So our priorities, as we mentioned earlier, remain investing in the organic growth of our business, deploying capital on acquisitions at returns well ahead of our cost of capital, growing our returns to shareholders and evolving our financial approach as we grow. I will hand you back now to Donal.
Donal Murphy: Thanks Kevin. So in summary, we have had a really excellent performance despite the very challenging environment we have all had to live through. We delivered strong growth, excellent cash flows and a high return on capital employed. Our acquisition momentum continues. Sustainability and energy transition is at the heart of everything we do and we are making really good progress. We continue to drive both organic and acquisitive growth while increasing the efficiency of our balance sheet. And finally, our outlook statement, although the uncertainty created by the COVID-19 pandemic continues, DCC expect that the year-ended March 31, 2022 will be an early year of profit growth and development. We leave you with our favorite slide to highlight DCC's strategy continues to deliver. This strategy, over 27 years as a public company, has delivered a consistent track record of growth, with operating profit growing 14.2% year-on-year, EPS growth of 11.9% year-on-year and unbroken growth in dividends increasing 13.9% year-on-year, free cash flow conversion of 104% and consistently high returns on capital employed, significantly ahead of our cost of capital. Thank you all for listening and we look forward to your questions.
Operator: [Operator Instructions]. We have the first question from the line of Alan Smylie from Davy. Please go ahead.
Alan Smylie: Good morning guys. It's Alan here, Davy. Thanks for taking my questions. My congrats on excellent performance in the year. Look I have two, just to kick off. The first is a shorter term question on organic growth. And obviously, it was an excellent performance, given the backdrop during the year. But given the various moving parts across the divisions, can you help us perhaps with the cadence of group organic growth as you progressed through the peak trading in Q3 and Q4? What I am really trying to get at is, is heading that positions you for fiscal year 2022 from an organic perspective as we hopefully return to some form of normality? And then just my second question is on energy transition. I felt the comments on incremental returns on EV charges was very interesting. But as you also acquiring the space and I recognize it's early days, but you are buying solar PV assets and the acquired budget energy, what type of incremental returns on capital are you expecting from these type of assets? Thank you.
Donal Murphy: Yes. Alan, the organic actually trajectory was very good as we went through the year, as we went through the quarter. So clearly the first quarter of the year was the most challenging. So we built momentum and we built momentum across pretty much all our divisions through the year. And we don't see any reason why that momentum is not going to continue. I suppose there's plenty of companies maybe talking about benefits that they received due to COVID in the year and those benefits not flowing through into the next year. And while there was some benefits, clearly we had from a COVID perspective, there was headwinds we had from a COVID perspective as well. So I think as we look into next year, we certainly don't see any reason why we are not going to continue our track record of organic profit growth. I don't know, Kevin, if you want to add anything to that?
Kevin Lucey: No. I think you have captured most of it. And I think from an underlying perspective, Alan, Q1 clearly was the most challenging quarter from an underlying trading perspective. And once we began to see things improve last summer, I think the group underlying has delivered good performances quarter-on-quarter-on-quarter. So certainly, as we go into FY2022, I think our outlook statement this morning reflects the fact that clearly we have some acquisition contribution coming through into next year. Currencies will be little translation headwind for the group. But all things being told, we expect to be growing our profits organically again into FY2022. So things in the business in pretty good shape really.
Donal Murphy: Yes. The investment, Alan, in energy transition, I think, is very interesting aways because and also I would love of talk about asset values and prices that for business in this area. But where we are investing on our existing infrastructure, we are actually getting very high returns on our capital because we are able to leverage that infrastructure be that the EV investments on our retail network or indeed actually we can, as I talked about earlier, with biofuels, we can actually put that through the existing infrastructure that we have within the businesses and indeed our bioLPG on the cylinder front goes through the existing cylinder infrastructure that we have within the business. So the returns are very strong where we are investing on our existing assets. Where we buy businesses in new energy areas, again, we are seeing the opportunities to deploy capital as very good returns. So we would be pretty pleased with the returns that we are going to get out of those two solar businesses we announced in France today. And not dissimilar to entry-level returns that we are achieving in any of the other business areas that we are investing in. So certainly, very encouraging so far from an investment perspective in renewable energies.
Alan Smylie: That's very helpful. Thanks Donal. Thanks Kevin.
Operator: Thank you for your question. We have the next question from the line of Katie Somerville from UBS. Please go ahead.
Katie Somerville: Thanks and good morning everyone. So kind of following up from the last question, as you expand into cleaner energy solutions, are you able to explain how overall profitability changes whenever you have changes to less carbon intensive solutions, how that impacts you? And then it seems to me that you haven't had much impact from changing LPG product prices. Does that mean that this is a low risk going forward? And then finally, in terms of the shift today for clean energy sources, has there been any significant acceleration this year? And if you could provide any details around that, that would be very helpful. Thank you.
Donal Murphy: Thanks Katie. Just that the LPG product price, I think that it is a feature of the market. It's something that we have worked really hard on to like smooth the impact of pretty significant moves in product prices during the year. And you look at the year just gone and we had a very significant move in the product price. So we are not immune to it. It's something that we have got to work hard on. But I think as the years have gone by, we have managed between our pricing strategies, our hedging strategies to minimize the risk of movements in that sector. The new energy and in terms of profitability, again, we are not seeing any kind of negative impact of investment in new energy. As I talked about earlier, where we are putting infrastructure in our existing sites, we are getting actually very good returns, very good profitability, very good cash generation out of those investment. The likes of biofuels for early underlying product might be more expensive and again it varies from market to market between the tax regimes and place the amount that needs to be blended within the product. And that finds its way, clearly, into the market. But again, the profitability on our biofuels is not lower than it is on our other products as well. So we certainly don't see any drag from a profitability perspective as we invest more in new energy and really our whole focus and our commitment is to help the customer to decarbonize and to bring the products and services to the market to enable the customer to decarbonize. And again, while they are modest acquisitions, but the acquisitions of the solar PV businesses today in France is important for us because it's bringing another capability in renewable energy to our multi-energy business in France.
Katie Somerville: Thanks very much.
Donal Murphy: Thanks.
Operator: Thank you for your question. We have the next question from the line of Sam Bland from JPMorgan. Please go ahead.
Sam Bland: Hi. Good morning. Thank you. I have three questions, please. The first one is, if I look at this sort of profit growth year-on-year in the first half and then the second, it actually slowed down slightly in the second half of the year. I was just wondering whether the impact of furlough had an impact there? Whether you are receiving money in the first half and then net repaying in the second? And what it would look like if you exclude that furlough impact? And the second question I had is on the technology business, where the profit growth stepped up quite materially in the second half of the year. But just a bit more detail on what was going on there? Maybe you would have expected some sort of an issue, work from home type equipment boost would have faded away as the year went on. So it doesn't look like it, a bit more detail would be helpful. Thank you.
Donal Murphy: Yes. Thanks Sam. And you are right in terms of the second half, first half, second half. Actually, the underlying performance in the second half was very strong and it was held back a little bit by repayment of furloughs. So furlough, we called it out in our results in November. It was relatively modest. We put it in place at the time, particularly during the first quarter, where following government policy to make sure we protect these jobs across a number of our business. As the business recovered through the year, we took the decision to repay that. That was repaid in the second half of the year. So you are right. That was an impact, a drag in the second half of the year, but it's modest in the overall scheme of things, Sam. So not something that we would be majoring on. Tech has been has been just super. The performance, we started off as we talked about the business and looking this time last year, we worried about the demand profile for the technology business because elements of our business is clearly in the B2B sector. And with offices not opening, with crowds not gathering, so investment in AV and retailing conferences and houses of worship, all that kind of stuff, going to have a drag on our business. But we had really strong demand, particularly early on from working from home technologies. I think actually what we saw during the year as lockdowns remained in place for very long periods of time, people upgraded the infrastructure that they had at home because they wanted to have better solutions at home. So the working from home technologies remained strong through the year. But the big boost was all around the consumer electronics part of our business and people, I suppose, not being able to out, go on holidays, not go to concerts, not go to matches, where do they invest their money. They invested their money in upgrading their consumer electronics, finding hobbies to do when they were locked away at home, picking up old hobbies like playing music instruments or whatever and they were all really strong in the second half of the year and the run-up to Christmas clearly is an important part. We had a strong trading season and indeed our performance right through the fourth quarter was very good in tech. And as we look forward, we look forward with confidence because as economies are moving up, moving back into operating we are seeing demand for B2B products starting to pick up now as well. And the tech business benefits as the economies recover. So we think the technology business is in really good shape.
Kevin Lucey: Yes. And Sam, just to jump in on the H1, H2 thing. Just the H1 growth was 8% in profits, H2 growth was 7% in profits, right. And the H2 for us clearly is a much bigger profits contributor. So in an overall way, our growth in the second half was very strong at 7% and represented good underlying organic growth as well as the repayment. So we are very pleased with the performance in the second half, just to be clear.
Sam Bland: Yes. Understood. Thank you.
Operator: Thank you for your question. We have the next question from the line of James Winckler from Jefferies. Please go ahead.
James Winckler: Hi. Thanks guys. Just had a couple for me. The first one is, bit discussion on labor market disruption, difficulty of hiring workers, particularly in the U.S., which I appreciate is still fairly small for you guys. But wondering if you are seeing any impact from that? And if so, how you guys work around and offset that? And another part of that is supply chain issues and the availability but also cost input inflation. I am wondering if you are seeing any impact there, particularly in the tech division? And then lastly from the solar, which I think you mentioned, is being included in the LPG division for now. I am just wondering how that complements the LPG services and what the benefit is of including it in that division? Thanks.
Donal Murphy: Thanks James. And look, I think like everyone, we are not immune to challenges in the labor market. And clearly, there is stimulus and everything in place have been impacting on labor availability. That said, we don't have any operational issues across our businesses. We probably are seeing an element of labor inflation across some of our businesses. But again, we have been through many cycles, James. And the benefits have been around for a while and the nature of our businesses we have the ability to pass on inflationary increases in our own cost base. That's what actually the nature of our business, we are buying, whether it's commodities or we are buying third-party products and product prices move and they get passed into market as well. So while we are not immune to it, we don't see any particular challenge for ourselves in dealing with any of the inflationary items. The supply chain piece is interesting because there is an awful lot of noise about supply chain issues at the moment. There is an awful lot of noise about chip availability at the moment and the impact that that's having on businesses. And again, within our own business, the tech business in particular, practically everything we sell has chips in it nowadays and there is some kind of impact on the supply chain, but nothing material. And it's more about our order cycles, getting our POs in maybe a little bit earlier, a little bit of increased investment in our working capital through this. But again, no material impact in product availability. Solar. James, with solar, I would say, while again modest investment, I think it is important for us as part of our energy mix and it's not just relevant to our LPG activities, it happens to be our, if you like, our multi-energy business in France is within the LPG division. But if we think about our customers set, we are supplying commercial, industrial customers, agricultural customers in particular that those businesses are targeting with both LPG products and indeed with oil products and other energy products. And our customers generally, solar will be part of the solution. And if I look at our own businesses, in terms of both our net zero 2050 or sooner target, but more importantly, our target to reduce our carbon emissions by 20% by 2025, we are actually investing in solar across many of our businesses to help us in our decarbonization. And again, the things that we are doing within our own business are great case for our customers and helping our customers in their carbon reduction journey.
James Winckler: Great. Thank you.
Donal Murphy: Thanks James.
Operator: Thank you for your question. We have the next question from the line of Rajesh Kumar from HSBC. Please go ahead.
Rajesh Kumar: Good morning. Thanks for taking the question. Just on the retail and oil business, your declining rate, basically the one you reported is better than the first half. Can you give us some flavor on how the trends were shaping up in 2021? And what compared to 2019 would you think the volumes would recover to? The second question is, within retail and oil again, you definitely have quite a lot of different products, given the EV charging. So can you give us some color on which parts of that business actually offset the petrol section consumption declines in terms of at the operating profit level? And finally, on the fuel price fluctuations recently we have seen, can you just remind us how that flows through your profit in lockdown for retail and oil for LPG, two very different dynamics there?
Donal Murphy: Yes. Okay. Thanks Rajesh and maybe I will start with the last one. So from a pricing perspective, again we are very much that's pass-through business. So in our oil businesses, the commodity price changes on a daily basis and we effectively pass that through into the market on a daily basis. We have a small amount of maybe weekly or monthly contracts that we have with customers and they would all be hedged out. So we don't take any kind of product price exposure within our oil activities. LPG is a little bit different where we have contracted prices with our customers. About 50% of our business is formula based. So it kind of gets passed through. The other 50% is contracted prices with our customers and I talked about earlier, our pricing policies and then backed off by hedging policy to minimize any risk of commodity movements and timing issues. And I think when you look at the year and the movements that we have had in the year, we have managed that pretty well. Look, in terms of the oil volumes, look, it was clearly an incredible year, Rajesh. We started off and literally sitting back kind of in April and May last year and looking at some of the markets that we operate in, France in particular where people couldn't drive more than a couple of miles and were locked away in their houses that fuel volumes was dramatically back if we look at more modest in the scale of our business. But even like our aviation business where we have a decent position up in Denmark, mildly back in terms of demand profile. And as we came out of the first quarter and economy started to open up again, the fuel volumes bounced back pretty well. Transport fuels bounced back actually very well because while people couldn't travel abroad, they traveled around their countries more. So we quite quickly got back to more normal volumes during the summer months. We came back into the winter months and lockdown kicked in again and we had a bit of an impact on volumes on the transport side, a bit less through on commercial and industrial. That was more impacted in the first half of the year. So we benefited, as Kevin talked about earlier, we benefited from a little bit of pull forward in demand on the EV side, again in the first couple months of the year, which created a little bit of a drag in the second part of the year. So it really was an incredible year in terms of trying to manage through that and to come out and deliver a profit growth was fantastic. Again, we see those markets bouncing back, Rajesh, as we go forward. So we won't maybe have some of the benefits that we had from, say, on the retail side where we have pretty strong margins and certainly in the early part of the year where it was lower volumes on the retail side. So some of that will normalize but we would expect the volumes to normalize back to levels that we have seen them before. In terms of the renewable piece, again, from kind of an impact on the profitability of the business, everything we are doing you where we are generating good returns on. So we have been focused on cleaner energy products. This is not something that has just happened within the last 12 months. We have been focused on it for many years. We have been talking about our premium heating products, our premium fuels at our retail forecourt. Those products are better for the customer, better for the environment and thankfully they are better for us in terms of the margin that we can generate from those products as well. So as we transition to cleaner energy products going forward, we certainly don't see that as being a drag in terms of returns or profitability of our business.
Kevin Lucey: Yes. In terms of, Rajesh, your question around like the compensation for the slowdown in retail volumes. Our retail and oil business is very broadly based. We have, clearly, the profitability that comes from retail forecourts. But even within that, you have got your carwash incomes, you have got your shopping income in those countries where we have shops. There's rental income from Click and Collect and all the various different services we offer from those retail forecourts. And then broadly based oil distribution activities including lubricants, including truck stop, including some of the services we provide around for haulers and mileage counts and fuel card revenue. So there is lots of things that are going on in addition to the cleaner energy products that Donal mentioned that support the overall level of profitability in the year. So whilst you are right to call out the fact that volumes are back and that was a drag for the division, the fact that it's so broadly based now with lots of different product streams and profitability streams on the back of that means that we were able to deliver good growth in the year.
Rajesh Kumar: Well, thank you very much. That's reasonably comprehensive. Just on the various product streams you mentioned, could you just give us, not the precise split but a level of a third is from cleaning or fuel card, just a exposure of how that splits up?
Donal Murphy: I didn't quite get all the question, Rajesh. But I think in terms of, the retail contribution is about 30%, over 30% of the division, if you like. And within that, there is lots of different components. Fuel card again will be a sizable proportion of the division. It will be over 15% to 20% of the profits of the division. So again, contributing to the spread. And then on the oil activities, which account for half of the profits or thereabouts, that is very, very broadly based from lubricants to home heating to aviation to commercial, industrial, all of which are individually significant. But they are very broadly spread across that kind of portfolio of products, if you like.
Rajesh Kumar: Thank you very much.
Donal Murphy: Thanks Rajesh.
Operator: Thank you for your question. We have the next question from the line of Gerry Hennigan from Goodbody. Please go ahead. Your line is open.
Donal Murphy: Gerry?
Kevin Lucey: Gerry?
Operator: Mr. Hennigan, can you check you have the telephone on mute?
Gerry Hennigan: Hello. Can you hear me?
Donal Murphy: Hi Gerry. How are you?
Gerry Hennigan: Yes. Sorry. So Donal, a pretty broad question here starting with, you mentioned affordability initiative in terms of new energy adoption and you obviously have had a good deal of success in Scandinavia. What do you see are the drivers? I know it is pretty broad here. But what do you see the drivers of adoption in some of your other jurisdictions you are operating in to kind of entice people basically to become more environmentally friendly as opposed top just talking but actually paying for it?
Donal Murphy: Yes. Look, Gerry, that comment is really around some of the challenges in terms of the whole kind of approach to energy transition. And that DCC can't do this on its own. It needs to be very much a kind of a joined approach from government policy. The producers of the product, the investors that are investing in the production of cleaner energy products and services so that the product becomes affordable from a customer perspective. So if there is a significant investment on the customer side, then that's an inhibitor to the decarbonization and that needs to be addressed. And something that we feel passionately about, we are working very closely with regulators, with government bodies, through industry bodies to make sure that those messages are kind of getting out there into the market. When you look at countries that have been very proactive, so we talk about while EV fast charging is really an attractive investment in Norway because the government have incentivized the customer to buy EVs. And EVs are on parity with ICE vehicles. So why wouldn't you buy an EV now if you are in the market in Norway because it's a very attractive proposition from a customer perspective. That drives demand. That drives the investment cycle then to produce the product for the customer. Similarly, when you look at the government approach to duty and to mandated blending requirements for bioproducts, that drives the demand and there is elements of the market. So when you get into segments of the market then, in more rural areas, with fuel poverty customers. There is big challenges for governments and for societies in trying to deal with that. And we have an important part to play in supporting that transition. So it's really something that we feel very strongly about. It goes right to the heart of our purpose and you will see us talking more and more and more about it, Gerry, in terms of what we are doing. But look, we are making really good progress. And you go from country to country, you look at what's happening in Scandinavia and the penetration that we have, what we are doing within the markets in Austria and Oil2LPG has been a great example of it. It started off where our customers, it wasn't price that's driving it. They wanted to reduce their carbon emissions, not only then as we get greater scale, greater capability, not only can we reduce carbon emissions, but we can actually save some money in the process of doing that. And that will happen your with all the cleaner energy products, they will become more affordable and the more affordable they are, then the greater the penetration.
Gerry Hennigan: Thanks. Just wondering, if I can, on the healthcare side. The step of recently going to acquire Wörner in the German Dach region. And in the near term, do you see just sort of bolt-on type deals in those sort of jurisdiction as well as possibly where you currently have base or do you see similar type opportunities there basically along the same lines as Wörner in other jurisdictions?
Donal Murphy: Yes. Absolutely, Gerry. And Wörner is very important for us. We have been looking for the right opportunity to expand out the Vital business into Continental Europe. If we could pick the ideal market, Germany is the ideal market. It's very large. It's very well funded. It's very fragmented in terms of the providers within the market. Wörner is in a real sweet spot for us because we have a leadership position in the U.K. in the primary care sector of the market. And it's a business actually that has grown through acquisitions. So the management team there have built that business by bolting on smaller primary care businesses in the German market, which is good. So it came with a pipeline of bolt-on opportunities as well, which we are actively supporting the management team on and hopefully not just supporting them but hopefully being able to accelerate some of that. It gives us well that platform and we have often talked about this, when you get into a market, you get a local management team on the ground within the market. That platform create further opportunities. And I have no doubt we will be able to accelerate growth within the Dach region and indeed that presence in Continental Europe will help us accelerate the growth of our healthcare business throughout Continental Europe. So we feel really good about that acquisitions. It is bang in the platform state
Gerry Hennigan: Okay. Thanks Donal.
Donal Murphy: Thanks Gerry.
Operator: Thank you for your question. We have the next question from the line of Christopher Bamberry from Peel Hunt. Please go ahead.
Christopher Bamberry: Good morning, Donal and Kevin. I have three questions, if I may. Looking at the organic growth in Vital, was that largely due to the organic growth in the PPE area being stronger than the declines in procedural type stuff? And if that's the case, is there some sort of headwind this year from that? Secondly, as you mentioned some digital initiatives in Scandinavia in retail and oil, could you please elaborate on that? And similarly, the restructuring of the French consumer gas business, could you tell us a little bit more about that.? Thank you.
Donal Murphy: Okay. Just on the organic piece of Vital, Chris. Yes, there was a benefit clearly from PPE and other COVID-related products, as Kevin talked about earlier. But there was significant drag in terms of the normal elective procedures and activities that would happen within the healthcare system. So we were and you see this yourself if you look at a lot of the producers of medical devices and supplies that weren't COVID-related or weren't respiratory related, that it's been tough because the healthcare systems have been really focused on fighting the virus. So while PPE will drop off in volumes hopefully, we will see there is the bounce back in the elective procedures. So Vital is an organic growth business. We expect it to continue to be an organic growth business going forward. And we don't see any changes in that. On the digital side, like there has --
Kevin Lucey: If you want, Chris, I can. I mean a lot of that is just about increasing the level of engagement we have with our customers. So a lot of it is about launching app on payment technology that is app enabled and can effectively provide the customer with greater insights in terms of pricing at the pump, in terms of availability at the pump or at the charger. So ensuring that the customer knows that when they approach one of our fuel stations in Norway, for example, that the EV charger is free and can be utilized for them. We are exploring ways to which we can improve the technology further to kind of book slots and things like that from an EV charging perspective. We are looking at ways to automate some of the feedback we get from customers to kind of net promoter score type information from the customer, again through the digital technology that they have and also I think pervasively across the group we are exploring digital opportunities to improve efficiency, Chris. So we have, in our trucking fleet, for example, improving the quality of the onboard computing that we have, improving the telemetry that we have on our customer sites to let us know how their how tank levels are such that we can improve their use and efficiency of our fleets, all of which improve the experience for the customer but also makes DCC a more efficient business. So the are the types of things that we are looking at to really improving the engagement with our customer but also trying to drive greater efficiency and innovation across the group.
Donal Murphy: Yes. Look, innovation, Chris, something you have heard us talk about many, many times and we are investing behind this. We are investing in all the digital tools that Kevin has talked about. But it's all about making us more efficient and closer to our customers. Your final question., just on the B2C business in France. We had so one of our principal focus has been on the B2B segment of the market. The Gaz Européen business that we acquired, over the last number of years we have been investing to grow into the B2C sector of the market and we are making good progress in terms of the customer acquisition and growing that business. We have decided to enter into a partnership with another party to accelerate that growth, but effectively from derisking it from a DCC or a Butagaz perspective, but leveraging the Butagaz brand. So it's more a repositioning of our B2C activities. Butagaz continues to sell B2C gas and electricity to our customers, but in a more risk managed way, which is just better from a returns perspective.
Christopher Bamberry: Thank you very much.
Donal Murphy: Thanks, Chris.
Operator: Thank you for your question. We don't any other question at the moment.
Donal Murphy: Super. Great. Well, look, just to thank everyone for their time this morning and thank you. And we leave you with a message that DCC is in really good shape and we are very well-positioned to continue our growth and development in this year, but in the years to come as well. Thank you all. Bye.
Operator: That concludes the conference for today. Thank you for participating. You may all disconnect.